Operator: Good morning and welcome to the Vornado Realty Trust Second Quarter 2020 Earnings Call. My name is Richard and I’ll be your operator for today’s call. [Operator Instructions] I will now turn the call over to Miss. Cathy Creswell, Director of Investor Relations. Please go ahead.
Cathy Creswell: Thank you. Welcome to Vornado Realty Trust second quarter earnings call. Yesterday afternoon, we issued our second quarter earnings release and filed our quarterly report on Form 10-Q with the Securities and Exchange Commission. These documents, as well as our supplemental financial information package are available on our website www.vno.com under the Investor Relations section. In these documents and during today’s call, we will discuss certain non-GAAP financial measures, reconciliations of these measures to the most directly comparable GAAP measures are included in our earnings release, Form 10-Q and financial supplement. Please be aware that statements made during this call may be deemed forward-looking statements and actual results may differ materially from these statements due to a variety of risks, uncertainties and other factors. Please refer to our filings with the Securities and Exchange Commission, including our annual report on Form 10-K for the year ended, December 31, 2019 and our quarterly report on Form 10-Q for the quarter ended June 30, 2020 for more information regarding these risks and uncertainties. The call may include time-sensitive information that may be accurate only as of today’s date. The company does not undertake a duty to update any forward-looking statements. On the call today from management for our opening comments are Steven Roth, Chairman and Chief Executive Officer and Michael Franco, President, and our senior team is present and available for questions. I will now turn the call over to Steven Roth.
Steven Roth: Thanks Cathy and good morning everyone. I hope all of you a continuing to stay safe and healthy. Yesterday after the close, we announced a very important 730,000 square foot lease with Facebook at our Farley Building. We normally don’t go for the drama of timing deals with earnings call but this one just worked out that way. This deal has been in the works for a while, and it’s not been a secret in the marketplace. People have been speculating. Will even a great companies such as Facebook committed in the middle of the pandemic prices? Will they commit to physical assets in light of all the work from home stuff? Will they continue to expand in New York in effect of doubling down? We now know the answer to these questions is, yes. This commitment is a dramatic statement from one of the most important global tech companies that even in the midst of a pandemic, commerce must continue. This deal reinforces New York City is a great and unique place to do business with an unlimited highly educated workforce. New York continues to be the place to be. Farley is a unique property like none other in New York. It occupies a double wide block, it is actually part of the Penn Station complex, the busiest transportation hub in the nation, across the street from Madison Square Garden you get the picture. Most importantly, this deal further validates the west side of Manhattan, as the place to be and it further validates our plans to redevelop our 10 million square feet of Penn district holdings into the bull’s eye location in New York. Facebook’s commitment here expands our long standing relationship with them at our 770 Broadway property with a leased 757,000 square feet. Facebook is now our largest tenant by both revenue and square footage. Kudos to Glenn Weiss, our deal captain and the Barry Langer, who led construction and development support. 220 Central Park South is the most successful residential development ever, we are 92% sold or under contract and we are now reaping the financial rewards from 220. It is a financial engine, feeding our liquidity and financial strength. Year-to-date through July, we have closed on 13 units for net proceeds of $598 million, all of this during the health crisis. From inception through July, we have closed 67 units for net proceeds of $2.42 billion, we expect closings in the balance of the year will bring in an additional $496 million in net proceeds. Our current liquidity is $3.8 billion, including $2.1 billion of cash and restricted cash and almost $1.74 billion undrawn under our $2.75 [ph] billion revolving credit facilities. Adding in the $496 million, coming in from 220, we might say our liquidity is this year now, $4.3 billion, consistent with my comments in my shareholder letter in April, that we would be more aggressive in selling assets, given the persistent discount in our share price and that many -- and that in many instances, we would rather have the cash than the building. In June, we announced that we were going to market to recapitalize two large highly -- high quality assets, 555 California Street, which has to be a top 5 in the nation trophy and 1290, one of the premier buildings on Avenue Of the Americas. We understand that this is a contrarian, as some believe the capital markets are frozen and now is not the right time. We disagree. The world is increasingly awash with liquidity and there really are no great assets in the marketplace to compete. In the end, the market will speak. We are early in the process. We have been talking to investors for about a month and interest in these high-quality assets is quite strong. This process is fluid and could have various different outcomes. As an example, we could simply refinance. We have indications of upsizing the 555 California Street boarding from the existing $550 million, to as much as $1.5 billion. Such has been the increase in value of this asset during our ownership. This process will play out over the next few months. Now that the topic [Indiscernible]. Rent collections in the second quarter, we collected. 93% of office rents, 98% including agreed to rent deferrals, 70% of retail rents, 78% including agreed to deferrals and 88% on a combined basis, 94% including deferrals. The trend for July -- of July collections is consistent with, if not a bit better than the second quarter. Rents which we have agreed to defer are generally scheduled to be repaid over the course of the next year. Quarterly earnings are important, very important, but my hope is that you would not focus on the very short term or on the volatility caused by a passing crisis. Our game is won by creating value of two to five years and sometimes even longer. I submit to you that this is undoubtedly a great time to be looking through the fog and putting capital to work. Now about our common dividend. Our company by mandate pays out by dividend all of its taxable earnings. Our intention is to have a smooth and predictable dividend that increases with our growth. We believe the dividend is sort of sacred but not more sacred then our balance sheet, our financial strength and our liquidity. While we certainly have the wherewithal to continue to overpay the dividend forever, our management and Board believe that in this crisis period, our dividend should mirror our taxable earnings. Accordingly last Thursday, the Board concluded to right size the dividend to $0.53 per quarter, by the way, I’m not a big fan of paying dividends in stock. Truth be told, recovering in the nation and in our city will be slow. Residential neighborhoods have decent activity and street traffic. The [Indiscernible] of our commercial boulevard, not so much, with office building census about 8%, street traffic is very light. As you would imagine, it’s really tough to be in the retail or restaurant business in these quiet streets. Most office tenants do not plan on coming back in the scale until Labor Day or even until year end. And truth be told, it may even take a couple of years for New York’s ecosystem, tourism, sports, concerts, Broadway, museums, restaurants, nightlife etcetera to return to normal levels. The headline of the day is that everyone were at work from home or almost everyone will work from home or whatever forever, which would of course have a negative effect on office demand in that sense. I don’t believe it and I’m bidding against it. There will always be some work from home, even a little bit more now that we have Zoom etcetera, but in the end, culture, productivity, collaboration, innovation and talent happen in office buildings. That’s actually -- that’s my view on work from home. Now over to Michael, who will talk about our earnings and about the markets.
Michael Franco: Thank you, Steve. Good morning everyone. I too hope you’re all safe and healthy. Jumping to our earnings. Our earnings for this quarter reflect a number of items, all of which were known or should have been known and expected. Second quarter FFO and adjusted was $0.55 per share compared to $0.91 for last year’s second quarter, a decrease of $0.36. This decrease was reconcile for you in our earnings release, on Page 5 and in our financial supplement on Page 8. A little color on couple of these numbers. First, you’ve had some bankruptcies, which should not be a surprise in this environment. In particular J. C. Penney’s which has been on the brink for years now. We have no bone to pick with Penny’s. Over the past 11 years they have paid us $200 million in rent and then had more, but we do have a $20 million a hole to fill here. We have activity and interest for this property, it could be for retail, or it could even be for the last mile distribution, the hottest business in the country. The J.C. Penney and New York & Company bankruptcies were the lion’s share of the write-offs in the quarter, which aggregated $45.1 million or $0.22 per share, but of which $36.3 million was for non-cash write-offs receivables, arising from the straight lining of rents and $8.8 million was for bad debts. Second, as we had specifically guided on our first quarter call, we call our variable businesses, which include Hotel Pennsylvania, BMS and cleaning, signage and trade shows, came in as we had predicted down $9 million per month or $27 million for the quarter, that’s $0.13. When life returns to normal or almost normal, we expect these businesses to snap back with the prior financial performance. Cutting through these items though, our core office business was essentially flat. Non-comparable items in the second quarter were disclosed in the press release on July 20th, a little color on the largest one, we recognized a $305.9 million non-cash impairment loss on our investment in Fifth Avenue and Times Square retail joint venture. This comes a little more than a year after we recognized a $2.56 billion net gain on the April 2019 transferred to the joint venture and related GAAP required write-off of our retained interest in these assets, to the deal price, which was fair value. This should also not be surprise since the general feeling is that these assets are worth less today than they were then. We ended the quarter with New York occupancy at 96.4% and New York retail at 83.6% handling J.C. Penney at Manhattan Mall estate. Now, turning to leasing markets. Given the uncertainty of the trajectory of the pandemic, as might be expected, there is limited albeit some new leasing activity throughout our three markets, as most companies take a wait and see posture to see what the impact of their business and employees ultimately will be. The vast preponderance of office tenants are opting to renew their leases rather than uproot organization and spend money building out new space. That being said, tours have picked up a bit in New York in the past few weeks and we are responding to several new major tenant requirements. Evidence that CEO still need the office that’s integral to operating their businesses and New York City as a deep and unique reservoir account. In addition, certain large companies in our portfolio had a positive renewal discussions at the offset of the crisis have now pick them back up, as they focus again on future and have the confidence that they need the same amount of space on a long term basis. But to emphasize at point that Steve made earlier, the trend of users wanting to be in the best product with the most modern amenities and healthiest environments will only accelerate coming out of this health crisis. Importantly, as the market recovers from the COVID pandemic, our New York office expires through the end of 2022 are modest and pertaining wells for stability of our cash flow, amounting to only 1.8 million square feet, or a 10% of our portfolio, and average of only 4% per year at a weighted average expiring rent of only $76.53 per square foot. The retail environment is very difficult and this crisis is accelerating to shake out the weak and poorly capitalized retailers. J.C. Penney, Neiman Marcus, J. Crew, Brooks Brothers and so on. We’ve taken our share of hits, just like all the other retail landlords. Most retailers are focused on survival and few are focused on opening new stores. Though a few strong and healthy ones, as evidenced by our recent deal we Target on the upper east side. Ultimately, retailers need physical locations and the best locations including the high streets of Manhattan will survive and thrive, but it will take some time through the pain of getting to the other side. For sure though, that our current stock price, the worse, the retail has been more than the what they are pricing. The city reopening for construction in mid-June, our development efforts have resumed in The Penn District. At Farley, we are targeting a December opening on the Moynihan Train Hall, along with some limited retail openings, and first delivery of office space in January 2021. Retail demand is strong here given the expected deal that we cracked. Farley and Moynihan in PENN 2 are the center point of our vision to transform Penn District, the new epicenter of New York. Where we will be delivering for tenants cutting edge, next generation health and wellness environments, amenities and services unmatched everywhere. Even during the shutdown, the reactions in the brokerage community and multiple perspective tenants for our PENN 2 Basel design has been outstanding and we are confident, this is exactly what tenants want to see as we emerge in the post COVID world. As we have said before, these three large Penn District projects are debt-free and are being funded off of our balance sheet, including the aforementioned proceeds in 220 Central Park South course. As these projects are completed and leased up, they will generate large accretive earnings. Beyond our developments broader district improvements continue to progress also. The 33rd Street Long Island Rail Road entrance is almost complete and on schedule to open this December, adding another signature elements to the district and improving the experience for commuters. Turning to the capital markets, they have basically been on hold for the past few months, as lenders and investors assess the viruses impact on the economy and real estate. The real estate financing markets are beginning to heels, the lenders are still into react mode and highly selective in what they finance. Spreads are wider and terms more conservative though the base rate is down, all-in coupons are still very attractive. As always the [Indiscernible] opens with a focus on our high-quality assets and sponsors, which we benefit from. We think over the next 12 to 18 months they’ll start to become a borrowers’ market with rate that historic lows. With the Fed pumping liquidity in the system and planning to remain accommodative until the economy recovers, interest rates are likely to remain low for as long as the eye can see. This should make the yields on assets of long duration leases with increasingly attractive investors, particularly in relation to fixed income, spurring them off the sidelines, and maybe even result in cap rate compression, given the spread of traders. Lastly, our management teams has been thinking a lot lately about the future of cities. Nothing is certain, but for hundreds of years, cities have endured as a central gathering places for work, living and culture and that cradles a creativity and innovation, we believe this will continue to be the case. New York is the world city, and notwithstanding a few bumps along the way New York will continue to drive. With that, I’ll turn it over the operator for Q&A.
Operator: Thank you.[Operator Instructions] And our first question on line comes from Steve Sakwa from Evercore. Please go ahead, sir.
Steve Sakwa: Thanks. Good morning. Michael or Steve, I didn’t know if you could maybe just address in general how the economics on Facebook lease might have changed over the past nine months. I realize this lease has been in negotiation for quite some time. So I know you left the yield unchanged in the supplemental, but anything that you could talk about on rental rates or concession packages or kind of how that might have evolved over the course of time would be helpful? Thanks.
Steven Roth: Thanks, Steve. Hi, how are you? You are healthy?
Steve Sakwa: Good thanks. Yes.
Steven Roth: Yes, that’s good for you. So listen, we think this Facebook deal is a monumental milestone, both for the city in the middle of the pandemic and also for the West Side of New York and most of all for Vornado’s plans in the Penn District, so that’s step one. Step two is, it has been a long -- has been a long haul, it’s a bought deal, it’s a big deal neither parties, neither we or Facebook flinched at all during the entire period of time, we will -- both parties were committed to the deal and working hard with various teams to complete the deal. It was a very complicated transaction. Now the Facebook, the Farley Building, as I think you know, I hope you know it is a very, very, very differentiated different unique and marvellous piece of property. It’s double block wide, which means it’s a low-rise campus, it’s a vertical campus and the floors are enormous. Our teams made a trip out to -- after the West Coast a couple of summers ago and we learned a lot from that. And one of the things that we learned was the way these tech companies like to work, they like to work in large campuses, they like large floors, they like low-rise buildings and they like amenities for their employees. For example, they have restaurants, they have work -- they have dry cleaning operations, so that their employees -- to take care of their employees, they have bicycle storage, they have everything that you can think of. And that’s something that the Penn District will provide and the Farley Building will provide. The deal as was, we have a policy, of not talking about the specifics of the business terms of deals with our clients. Their privacy is important. We disclose what’s appropriate to be disclosed in our docs and there will be certain disclosure in our docs about this deal as well. Having said that, the deal is within the parameters of our original underwriting. To be honest, there was a little bit of give and take in the end, as a result of the environment, but it’s absolutely within the parameters of our underwriting. With respect to the disclosure in our docs, we will re-underwrite -- we don’t re-underwrite these numbers every week or every month, we will re-underwrite the numbers and publish new and updated numbers in our 10-K at the end of the year. Remember, there is two components to the Farley Building. There is the Facebook deal, which is now fixed and then there is the retail component of it, which is 120,000 square feet, of very important retail. And, I’m sure you know that there is an enormous confluence of pedestrian traffic that will come through the Farley Building from Manhattan West from Hudson Yards to get to Penn Station. All of that retail funnels through -- all of that pedestrian traffic and commuter traffic funnels through the retail portion of the Farley Building. So we’re extremely excited about that and we are working on the rents. And so we will not re-underwrite this deal until we have more visibility on -- in terms of the retail rents and that won’t be until after the first of the year in the 10-K.
Steve Sakwa: Okay, thanks for that color. I guess for the second question, just to kind of follow up on the J. C. Penney’s. I can’t remember, if it was you or Michael that sort of just talked about last mile distribution as being a potential option. I mean, just, can you help us sort of think through that space and the timing and how you might, sort of perceive a whole redevelopment and what might all go into that.
Steven Roth: I can’t be in much more specific. With J. C. Penney, I think we made the statements that we don’t have a bone to pick with J. C. Penney, they paid us. I think the exact number’s $194 million in rent over the last 10 or 11 years so. So, they don’t owe us anything. They’ve been catering for a while and so their bankruptcy was absolutely expected. The space that they occupy is brilliantly located in the middle of the island, it could be for a retailer, it could also be, as I think it was in Michael script, it could also be for a distribution last mile -- last mile distribution center. Now that’s the hottest business in the country right now. And the scarcest product is in the dense metropolitan areas of which New York is the densest is to get space which can satisfy that requirement with enormous loading facilities and the ability to get panel trucks on and off the streets. So the J. C. Penney store, which is a department store, which has a very large shipping and receiving component, which we have the ability to enlarge is such a piece of real estate that might qualify for that. So as you can imagine, we are going to be talking to everybody. I do not believe that you should expect that we’re going to be, that we’re going to be relet this space quickly, this will be a long slow slog.
Steve Sakwa: Great, thanks very much.
Operator: Thank you. Our next question on line comes from Manny Korchman from Citi. Please go ahead.
Michael Bilerman: Hey, it’s Michael Bilerman here for Manny. Steve, in your commentary, you said it was a great time to be looking through the fog and putting capital to work. And I wanted to know how you think about that from a Vornado perspective and you think about the Facebook deal now being official, the progress you’ve made on PENN1 and PENN2, would you be more aggressive in let’s say take-down Hotel Penn to position yourself for the eventual net cycle. I guess what are you thinking about in terms of putting incremental capital to work?
Steven Roth: Michael. Hi, how are you? First of all, we’re in a great shape. Okay, we have an enormous amount of liquidity on our balance sheet, that liquidity is growing, the Farley Building basically takes a multi-billion dollar asset out of risk and puts it into a secure financial asset, we have two very large buildings that we are talking about recapitalizing, which will generate, if our plan is successful an enormous amount of additional capital. So if you pardon the expression, we are loaded. Okay. We saw -- we didn’t see the pandemic coming, but we saw the end of a long expansion coming and so we prepared for this. So the first thing is our balance sheet is in great shape and we are doing things such as closing 220 -- closing the 220 Central Park South, such as the Farley lease, such as the 555, 1290 buildings which are in the marketplace now, we’re doing things to continue to mend our liquidity, Okay. Your comment which specifically went to the Hotel Penn, I don’t really have much to say about that except that, as we continue to march along from the Farley Building to 2 PENN to 1 PENN, etcetera the Hotel Penn is arguably one of the top two or three development sites that are available in the city. By the way, 350 Park Avenue many of the people in the marketplace think as the single best development site, but be that as it may, I couldn’t resist getting the plug-in. So, the issue is that Hotel Penn in order to execute on that, you have to pay par. In other words, you have to build a building and the land has a certain value and you’re paying par for that. Okay. It’s not impossible that in this cycle, which I think is going to be a soft cycle for a while that our capital will be able to attract a transaction or other transaction where we will be able to buy great assets at less than par. So we have all the capital we need for our development project -- our development program. I will remind you, which I think we’ve told you multiple times over the course of the last period that the Farley Building has no debt on it, it’s unencumbered, 2 Penn Plaza, it has no debt on it, it’s unencumbered and 1 Penn Plaza has no debt on it, its unencumbered. The capital plan for those buildings is complete Farley and do our development plan is I don’t know, pick a number of $1.5 billion which we have sitting on our balance sheet, ready to go. So we can complete all that with no debt. So we are the part in the street phrase, we are loaded. Alright, and we are, we believe we’ve been through this five or six or seven cycles, the time to invest is when things look a little bleak. And I use the word to look through the fog, intentionally. So we are alert, we are active and we are interested in growing our business and taking advantage of the marketplace. The other thing by the way, as an aside and I think, Michael said is we’ve been through this multiple times the capital markets right now are what would I call them, they are sticky. They are not fluid. Lenders are appropriately concerned, the future is uncertain and people -- lenders are appropriately cautious. Okay. You go out run this out a year, a year and a half and that will all change. There is a flood of liquidity. The chaos and the fog, so to speak will begin to start to lift and it will become an aggressive borrowers market and you put these -- you put our balance sheet together, borrowers market, low interest rates etcetera. This is a good, good time to be in our business.
Michael Bilerman: Yes. The second question was just, thinking about your commentary around New York and you just talked about being soft for a while in your prepared remarks, you talked about the ecosystem in New York returning to normal in a couple of years and you think about putting aside the announcement, obviously, of Facebook that you had overnight. There is obviously a lot of retail vacancy, a lot of crime that has already been pre-pandemic, and actually this is very wealthy people out of the tri-state area [Indecipherable] John, Lee Cooperman. We have a political situation in New York City that is not very sustainable. We have the density issue and what gives you the confidence that we can, that the City can rebound?
Steven Roth: That’s a combination of a meta physical question and a political question. So first of all, you said in your question putting Facebook aside. Well, I don’t want to put Facebook aside, it’s a monumental, a huge deal and I couldn’t be proud of the accomplishment I couldn’t be more proud of Glenn and Barry and our teams and I couldn’t be more proud of David and me who are middling, Okay. And so I don’t want to put it aside. But be that as say, look, New York is the world city and it has always been, it has been the world city for a century now, it’s got this enormous infrastructure of all the cultural things, all the business things, all the talent, etcetera. And even though every once in a while we try to screw it up, it ends up that New York comes out in better shape. I don’t want to make a political comment about the current management of the city. I think everybody has their own opinions about that, we understand that. But New York will -- the infrastructure in New York will win the day. It always has and always will. Now I love Nashville, Austin etcetera they are great cities, okay. When you take the size of those cities and you take the size of their workforce, you take the afterhours activities in those cities. There is a group of, there is a small subset of people who want to live there but it can’t compare to New York. I mean remember New York has eigth professional sports teams. It has two hockey, two football, two basketball, two baseball, nobody has got anything like that. So and that’s just one little instance. So New York has this enormous building infrastructure and our feeling is that it will continue to flourish. There are some things that are wrong with New York now. I hate the homeless situation, and I hate the homeless situation, I hate a lot other things about it. I am not a big fan of de-funding the police etcetera, but in the end New York will win the day.
Michael Bilerman: Thanks for the time Steve.
Michael Franco: Michael, I would just add to what Steve said that. Look the other day in addition to all the infrastructure that New York has, right, it has a pool of talent that is probably unique. And so if you think about not only Facebook’s commitment but and -- I referenced in my comments, and I think I rumored press on at least a couple of these things. You have major companies from various different industries that are looking beyond this short-term period, which it is short-term, we’re going to have a vaccine or a set of therapeutics and it looks like near term. So the health issue’s going to come off the table and we’re going to get back to business and these companies which are significant and extremely important, well respected, they’re looking out and saying where do I want to continue to grow my business long-term, where can I access talent. And they are focused on the New York, right, and in scale. And so I think this is not us just finding the sky, these are major companies, that are global leaders that are going to continue to be the winners that are reaffirming in their commitment to New York. Not to mentioned, what we’ve done in our own little district with Facebook.
Michael Bilerman: Thank you.
Operator: Thank you. Our next question on line comes from Jamie Feldman from Bank of America. Please go ahead.
Jamie Feldman: Great, thank you. Good morning. Can you talk about the implications of the Facebook deal on 770 Broadway and what their longer-term plans are there?
Steven Roth: Glenn, pick that one.
Glen Weiss: Hi, Jamie, it’s Glenn, how are you. So the Farley transaction is not at all connected to the 770 lease number one. Number two, Facebook loved 770 as a matter of fact they’re building more floors as we’ve said on this phone call this morning. So there is no connection from one deal to the other. If anything, I think the Farley transaction reflects the very strong relationship between the companies, which is grown from our initial deal down at 770 some seven years ago.
Jamie Feldman: Okay.
Michael Franco: Jamie, I would add that Facebook has talked to us about growing in that building and taking the entire building. So, and those conversations are continuing.
Jamie Feldman: Okay, great. And then as you think about, I mean now that Farley is done, can you talk about the conversations around PENN2. I mean, what does that depth of demand look like. I know, you’ve got some time before that project completed, but just, that’s certainly next step to the plate.
Steven Roth: Yes, it surely is. So the first thing is that, I’m sure you have but I ask you again, take a look at our website where we have a fairly large picture book of what we are going to be doing at 2 Penn, what it’s going to look like, what the amenities are, what the services we’re going to bring to our tenants and by the way, we look upon PENN2 and PENN1 as a campus, because those two buildings will be interconnected. So we have basically a 12 plus million square foot campus in -- on top of Penn Station, which is, I submit an unbelievably scarce asset and valuable. The development plan for 2 Penn is too long. It’s the better part of three years, but that’s what it takes. So we have lots of time in terms of the leasing. We are going to basically, Glenn, is basically going to stay out of the market for the next year. We’re not even going to entertain, well if something comes along maybe, yes. But basically our intention is to not start to leasing it for a year, when the market can begin to see some a better visibility into what the product will look like. Now, there were some conversation that in past calls where we said that we had a 4,000 foot anchor tenant to whom we were talking that I said in last quarter’s call, that conversation has -- as expected gone into pause, not gone away, gone into pause, okay. The major tenant in that building now is somebody called Madison Square Garden. They’ve been in that building for decades, that building is adjacent to their business. And so that’s really, 2 Penn has been home of Madison Square Garden for a long while. So you can put two and two together, but the -- and that’s status report on that. The other thing by the way is, the design of the building with the bustle creating the overhang, created the prominence, creating the entrance to Penn Station etcetera. I mean it has got universal applause. And so we’re pleased about that. There is an elephant company that’s in the marketplace that is looking, by the way happens to be looking at both 350 Park Avenue and 2 Penn which is an interesting combination of locations. And their boss basically said that, going through the renderings and the presentation that he saw that the design and the bustle and -- what were the extraordinary piece of our architecture and we agree with that.
Jamie Feldman: Okay, thanks for the color. And you’re saying the tenant looking at 350 Park and 2 Penn, they would only take one -- they are going to take.
Steven Roth: Hey, Glenn is good, but he can’t sell a space twice. No, they would only take one.
Jamie Feldman: All right, thank you.
Steven Roth: Thank you. Thanks, Jamie.
Operator: Thank you. Our next question on line comes from Alexander Goldfarb from Piper Sandler. Please go ahead.
Alexander Goldfarb: Hey, good morning Steve. So this tenant that Glenn is talking to you for both…
Steven Roth: Hey, Alex. The first thing you should say hey, Glen and Davis, congratulations on this Facebook deal. That’s the first thing you should say.
Alexander Goldfarb: Okay, that was, I could FaceTime you my question list and it says in writing, Steve,-congrats on Facebook. So that’s there. Next I was going to give you applause for talking to Steve Schwartz your buddy, about anchoring 350, but it sounds like Glen is also trying to sell them on Penn Station, so look forward to that as well.
Michael Franco: Wow. First of all, I’ll pass the congrats to off to Glenn and David. Second for all, don’t make that conclusion it’s not a good conclusion.
Alexander Goldfarb: Okay. As you know, we in the analyst community would never make bad conclusions. So first, to Bilerman’s point, I mean Steve and Michael, you could have New York returned to more of the commuter day, where New York office works, but the residential returns to a lower price point, that’s certainly conceivable. That you can have the two working concert. But the two questions are first, going to 555 and 1290, as you guys do more development, your portfolio, if you sell these two buildings, you would expose the overall we know do more of a developed built risk etcetera. And they are tremendous buildings that I’m sure the cap rates are probably compressed over the past few months. In addition, you obviously you have Trump and they’re all the, people who love to write critical things of him, so it seem like any transactions run that risk of -- headline risk. So how do you think about parting with the two buildings given that they really do provide rate NOI that helps with the, as you redevelop, Penn Station, do 350 etcetera. And then also, take the political heat of everyone who knit picks whatever price you pick, that somehow there is something there?
Steven Roth: Oh, boy, so let me try to take that in pieces. First of all, I pay zero attention to what you call the political risk. We are the 70% partner in those buildings, the docs are rock solid, we make all the decisions and so there is -- and that by the way has been tested in the courts. So with respect to the fact that there is a partner in the building, who is, he doesn’t have anything to say about the decisions that we make and so that’s fine. Step two is, don’t draw the conclusion that we’re going to necessarily sell the buildings. Okay. We have lots of different -- as I said in my prepared remarks it’s a fluid situation. There are lots of options we will pursue all the options. Our objective is to take capital out of mature buildings and have it available for more advantageous opportunities. So 555 now the book says, you settle the worst of step first and you save the best up for last. So in our counsel rooms -- we have talked about, are those the right buildings to begin to draw our capital out of or should we draw our capital out of other buildings or what have you. It was our judgment collectively. I think I was on the side of this that in this very sloppy market, it would take an extraordinary building to get investor’s attention and to get a price or a value that would -- that’s appropriate. So we have multiple billions of dollars of equity in these buildings and I’d rather have the capital than I -- than the buildings and that’s my answer to your question.
Alexander Goldfarb: Okay. They are some of the best buildings. So hopefully, yes there is a way for you guys to stay in it.
Steven Roth: The point of it is they are some of the best buildings in the country.
Alexander Goldfarb: Okay. The second question is on the street retail you took the impairment, which is non-cash obviously reflects, as Michael said the degradation of value from a year ago how does this impact the preferred? And more to the point, I realize that the factors are still good, but if you think about, ultimately trying to liquidate the preferred or when the leases rolled that are underlying the preferred how the $1.8 billion is potentially impacted? So do you think you can get all your money out or when the leases roll, even if they roll where current rents are, is that preferred still money good?
Steven Roth: Michael, why don’t you handle that one?
Michael Franco: Good morning Alex and thanks for the [Indiscernible] as well. So what I would say on the preferred, is let’s just go back and I think I read all the reports, just for -- so everybody is clear on what the preferred is. The preferred was originally proxy for senior mortgage tenants, right. And so it is -- it sits on five of the seven assets in the venture and it is in that first lien position, right, and at the time of the transaction, zero to little bit less than 50% LTV on those assets. So there’s no debt problems on those assets, all the cash flow from all seven assets is available to service the preferred. But again, that is the first lien position on the assets. While the LTV is higher than the time of transaction, the value is still well above the preferred. So, and again to remind you, there was a period of time where we did not let past before we can think about that redeeming that preferred, which we have not yet hit. So, and then lastly I would say is it’s now or not way, so it’s five or seven assets, it can be redeemed in whole or in part as we elect over time. So as we sit here today, and on many of those assets, we have meaningful term on those leases. And we knowledge that bring on many of those, we had to re-rent that today those numbers would be lower, but we have term, right, we don’t know what the future holds when we get beyond five or six years, hope that the market is stabilized and recovered, maybe not back to peak, but we’re in a vibrant market. And our belief is still that we can review the preferred and the timing may be different for asset.
Alexander Goldfarb: Okay. So, Michael. The first one.
Steven Roth: Yes. Alex, let me jump in on top of that for a second. So the first thing is the preferred was structured by our teams in a very important, very somewhat complicated transaction where we sold or transfered 50% of our major high street retail assets. So the preferred served a very important purpose. I look upon the preferred as a financial asset not as a real asset. So I don’t look upon the preferred as real estate, I look upon it as a financial asset, number one. Number two. I look upon it as being not impaired on our balance sheet if we thought it was impaired, we would have impaired it. So we looked upon it as being a good financial asset. Number three is, we look upon it as a source of future liquidity should a certain timeframe, pass which is not very long incoming, and should we decide that we wanted to end up liquefy that. So it’s a financial asset, not real estate. It’s good, and it’s a source of future liquidity.
Alexander Goldfarb: Steve, thank you. And Michael, thank you.
Michael Franco: Thank you. Alex.
Steven Roth: Thank you.
Operator: Thank you. Yes. so sorry, we have John Kim on the line from BMO. Please go ahead.
John Kim: Thank you. Glenn and David, congrats on the Facebook lease. Steve, I wanted to clarify your answer to Steve Sakwa’s question. I wanted to clarify your answer to Steve Sakwa’s question on the yields at Farley being reassessed and yet at the same time, the Facebook lease was within your original underwriting parameters, is the yield going to come down primarily because of retail or is it the combination of the retail and the Facebook lease?
Steven Roth: I don’t think that the -- the answer is, I’m not going to comment on that. The yield will come down, if it comes down at all marginally. Okay. So the asset is within the tolerance of our underwriting.
John Kim: Okay. And my second question was on the leases buying this quarter 174,000 square feet where the rents it was stated will be determined next year at fair market value. Was that specific to one lease or multiple leases and does Facebook has the same optionality, on their starting rent?
Glen Weiss: It’s Glen, John. Go ahead, Steve.
Steven Roth: Hang on, for a minute, Glen.
Glen Weiss: Go ahead.
Steven Roth: The Facebook lease has nothing to do with it. There is no optionality. The Facebook lease has set rents for the term. So now with respect of the 174,000 foot, please Glen go ahead and answer.
Glen Weiss: The 174,000, the leases is with one tenant, they exercised a five year renewal option. The rent is the greater of market or the 10 then rent, the rent gets set next fall of 2021, just a five year option of this space.
Michael Franco: Is was actual provision?
Glen Weiss: Yes.
Steven Roth: So we had -- what we had was, the conundrum that we had was that this was a lease that was exercised. So it rightfully goes into the count of how much space we leased in the quarter, but we had an unknown rent to be determined in the future by a process. So we had to put it into the, into these square footage that were leased, but we could not put it into the mark-to-markets because we don’t know what the rent is and by the way, this is, we’ve been doing this for a long time. This is, I think, Glenn, David, this is the first time I’ve ever seen this situation.
David Greenbaum: Let me just add a word Steve, it’s David. So when a tenant exercises a renewal option, the good clause says that the tenant owns this space and has exercised it and has confirmed an additional extension period whether it’s five years or 10 years with the rent to be reset based upon the end market. The best clause says, that rent will never -- then the rent the tenant previously was paying and that’s in fact what the clause is here. So, tenant owns the space and we’re going to figure out the rent next year. And it’s not less than what the rents that the tenant’s are currently paying.
John Kim: So this was originally in the lease, but not a COVID related clause?
David Greenbaum: This is an old, old lease where the tenant exercised an extension option.
Steven Roth: Correct.
John Kim: Great, thank you for clarifying. Thanks a lot.
Operator: Thank you. Our next question on line comes from Vikram Malhotra from Morgan Stanley. Please go ahead.
Vikram Malhotra: Thanks for taking the questions and congrats on getting Farley buttoned up. First just on retail, can you help us bridge, sort of, the occupancy loss sequentially from the 90s to the low 80s this quarter?
Unidentified Analyst: That was J. C. Penney’s.
Joseph Macnow: That’s J.C. Penny. Principally, J. C. Penney, Vikram. This is Joe. We took J. C. Penney because they rejected their lease out of the occupancy.
Vikram Malhotra: And what was the balance?
Steven Roth: Joe, the J. C. Penney represent the entirety over the course.
Joseph Macnow: I don’t know, Steve. Tom, do you have it handy?
Thomas Sanelli: Hey, Vikram...
Steven Roth: You know what, Vikram it was primarily J. C. Penney and our finance team offline will give you the details and build it up for you.
Vikram Malhotra: Okay, sounds good. And then just second on street retail again, can you give us a stand I think over the next 12 or 18 months, you do have a, not a huge amount but some expiration. Can you give us a sense of any larger tenants that may be up for renewal and with those expiration’s maybe any guide post that to how we should think about kind of street retail NOI.
Steven Roth: I think you’re asking for guidance Vikram which you know that we don’t do. Having said that, do we have a list of the specific tenants in our disclosure that expire over the next 18 months. Joe?
Joseph Macnow: No.
Steven Roth: No, all right. So that’s a question Vikram that I’m not going to be able to, I’m not going to be able to give you the guidance that you’ve asked for. I apologize.
Vikram Malhotra: Okay, no worries. And then if I can just squeeze one more in...
Steven Roth: Yes, Sir.
Vikram Malhotra: Steve you correctly predicted many years ago Manhattan, kind of, moving south and west and obviously there has been a lot of development and progress. Just your high level thoughts whether it’s COVID related or new types of demand or new types of tenants coming into Manhattan. Do you foresee any changes in Manhattan, whether it’s with lease structures or co-working or maybe a little bit more so big, big firms maybe thinking about suburban and any kind of high level thoughts if we look out over the next five years.
Steven Roth: That’s a very, very, very sophisticated question which obviously we, in running our business, we think about every single day. So a couple of things. Years ago there was only one submarket in the city where people would live and that was the upper east side, everything else was a mess. So in the process of being a mess, the other places, whether it be south or west or wherever were a lot cheaper and so younger people started to move to those cheaper neighborhoods, they became gentrifies and low and behold now after 20 years of movement the upper east side is that cheapest submarket in the city and what have you. So things change. Right now we have the advantage in the city where every submarket. From river to river, is sought after, is been gentrified, is fine places to live with good restaurants and a good experience. Okay, so where people live is not that dispositive with respect to office development. Now, I would remind you that Long Island City is one to two train stops away from almost every office building in the city and Brooklyn is one to two subway stops, which is like 10 minutes, 12 minutes, 15 minutes away from almost every office building in the city. So that’s the way cities work. Now, what we’ve seen is that the city is sort of splintering where the traditional business district, the Plaza District in Park Avenue is becoming more and more of a finance center and the new West Side and Chelsea and that meet region has become more and more of a creative Center. And the way I describe it most of the time is, the people that wear ties go to the Plaza District, the people don’t wear ties go to the West Side. And I sort of see that sort of continuing. The big thing that I see is that every company whether they -- even the companies that wear ties, especially the companies that wear ties want to attract a younger, more creative workforce and in order to do that many of them are considering, leaving their traditional locations and moving to the south and the west. So, I mean there is many instance of that. The insurance company that took 61/9 from us was that, many of the tenants that are in Hudson Yards today are traditional firms, banks, etcetera, who want to attract a different profile of worker. And so that continues. Now the other thing is that economics are important and as the West Side flourishes and gets to be higher price point, than higher price other places will flourish as well. So now what’s happened is Park Avenue can compete very, very well with the West Side on price. So I mean that’s the way I see it. What I’m really saying is that I think where people live begin to lead the marketplace and economics are really important and where people want to work. So right now it is the perfect storm to the West Side of Manhattan. And I guess, Vikram, I think, I’m talking my book just a little bit. I’m talking my book just a little bit because I really believe it.
Vikram Malhotra: Makes sense. Thank you.
Steven Roth: Yes, sir.
Operator: Thank you. Our next question on line comes from Nick Yulico from Scotiabank. Please go ahead.
Nick Yulico: Thanks. Just turning to your cash same-store NOI in the quarter was down 6% in New York City. Can you just talk a little bit more about what drove that despite Manhattan Mall and other issues, and i just want to be clear, in terms of the deferrals that you’re giving, is that actually a negative in your same-store NOI? Are you -- or are you -- and when you talk about cash NOI are you excluding the impact of these deferrals when we’re talking about cash NOI?
Joseph Macnow: Nick, this Joe.
Steven Roth: I’ll ask, Joe and Michael to answer that.
Joseph Macnow: So, Nick, let me give you a little background this is Joe. Steve gave you the percentages of collections and deferrals, that translates into $48 million uncollected in the quarter of which we deferred $21 million. We also abated $3 million and we set up reserves for $9 million as non-collectable, that $12 million reduces FFO and FFO as adjusted and cash basis NOI and all the other metrics. We also went on a cash basis for revenue recognition for 56% or almost $9 million of all of the monthly rent not collected through the writing off of the $36 million of straight line rents, which has the effect of putting those tenants on the cash basis. So going forward, more than half of all the rents not collected in the second quarter are now on a cash basis. While COVID-19 has given rise to a much higher level of rents not collected than we’re used to, it’s still relatively small on a company our size with $1.7 billion of annual rents and additional revenues coming from hotels and BMS etcetera, etcetera. And those numbers are in the NOI numbers. Now deferrals, deferrals are treated as cash collected for cash basis FFO, but not the write-offs, not the abatement etcetera, etcetera. Michael, do you want to add anything to that?
Michael Franco: The only I’d add Nick is that, the retail Joe referenced in terms of bad debt reserves and it’s got the impact of the Forever 21 bankruptcy. But the other aspects in terms of it being down is really driven by the variable businesses that I referenced to you, of where that’s lower cleaning fees, signage, garage income, trade shows those are the drivers. Again I wish when life returns to normal, we expect those to return to normal.
Steven Roth: I want to add one thing, Joe used the word abatements, and I think you mentioned $3 million or something like that. We want to be very careful here. Abatements are and not meant to us. We are collecting our rents, we are doing a very good job of collecting our rents. It’s interesting the way the better companies in the industry are all coming in an about the same percentages in what have you, it is the rarest of rare things that we will agree to an abatement. And as you can tell, the number of abatements that Joe just -- that Joe just disclosed to you is a very small number. Each of those, very few abatements has a very specific reason why it’s -- why we do it. It’s not the policy of the company to do it, we do it only very, very rarely and only in special circumstances. So what we, what we’ve been doing is collecting cash rent on occasion, also on fairly small number, giving tenants a deferral, so that we work with our tenants and with a collection of that deferral in the following year, which is a very short-term loan, but abatements are a no, no, and I don’t want anybody get the idea that we’re in the abatement business. We are not in the abatement business, thanks.
Nick Yulico: Okay, thank you. That was helpful. Just second question is going back to the Facebook deal, did you make any changes to the existing lease at 770 Broadway.
Steven Roth: Glenn, we did not correct?
Glen Weiss: We did not, no changes.
Nick Yulico: Okay, thank you everyone.
Steven Roth: By the way, there seems to be a feeling among one or two of you all that how can Facebook take all this space? And maybe they’ve got extra space and maybe that extra space is 770 Broadway, that is absolutely not true. Next question, operator.
Operator: Thank you. Our next question on line comes from Manny Korchman from Citi. Please go ahead.
Michael Bilerman: It’s Michael Bilerman back with for Manny. Steven you talked about 555 and 1290, but not making decision which path to go back down. i.e. refinancing, sale, maybe additional -- bringing additional investor. On the refinancing front you mentioned.
Steven Roth: Yes. Michael, Michael, Michael. Hold it. We didn’t say not making a decision. What we said was that we were in the marketplace to be -- expose ourselves to whatever financial opportunities might be there and then we will select what is best for us, it’s not a problem with making a decision.
Michael Bilerman: Well, you didn’t make a final decision about which path to go down because you’re evaluating what’s the best outcome is for Vornado’s shareholders, which is perfectly correct?
Steven Roth: Exactly.
Michael Bilerman: Right. So, but you did mention on the refinancing of 555, potentially pulling in a $1.5 billion of total proceeds relative to the 550, existing mortgage, what would that be on 1290? If you’ve gotten a similar indicative quote so at least in our mind we can think about what a refinancing option could bring in?
Steven Roth: The answer is, and not as much and maybe not even maybe not -- nowhere near as much. And the reason for that is twofold. Number one, 555 California has a very low loan to value mortgage on it now. Okay. So therefore it stands to reason if one were going to refinance it, the proceeds would be very robust. The 1290 building has as an appropriate loan on it and therefore the refinancing proceeds would not be anywhere here is robust as 555.
Michael Bilerman: Okay. And then one of the things you talked about in near term-end letter and also in the proxy was the whole element of a tracking stock, where does that sit between all of the strategic priorities today?
Steven Roth: It’s still very, it’s still very, very much on the table. And we’ll go back again, the genesis of that is that to separate out the different components or at least two different components of our company, so that investors can choose what they wanted to invest, what do they wanted to invest in the long term, high growth marvelous potential of the Penn Plaza District, Penn District or whether they wanted to invest in our also wonderful, but more stable and steady as they go office product. And so the answer is, it’s still very much on the table, and we will see, but this is -- in the throes of this financial crisis, this is probably or not for this health crisis, this is probably not the perfect timing. So..
Michael Bilerman: Right. Right.
Steven Roth: That is not, that’s not something that we’re going to spring next month.
Michael Bilerman: Okay. That’s what I wanted to sort of get a picture of. I appreciate the time and I hope you and the team are doing well. A - Steven Roth Yeah. Thanks, Michael. Nice to talk to you.
Operator: Thank you. Our final question comes from Daniel Ismail, Green Street Advisors. Please go ahead.
Daniel Ismail: Great, thank you. Given the Facebook lease and other leasing you have got down this quarter, are you able to share any noticable changes in utilization and possible a trend of diversification by tenants?
Steven Roth: Glenn, David?
Glen Weiss: I mean we’re talking; we’re talking to our tenants, often through this since March. Many, many conversations are revolved around what our tenants going to build, what design’s going to be. I don’t think, from a long term aspect, any of the tenants really know yet what they’re going to do long term. And I think everyone is kind of in a holding pattern in terms of how space will be utilized as they go forward with life. As it relates to some of the deals we’ve finalized this quarter, I have seen no real change in terms of tenants thinking as it relates to the space utilization as it relates to their density, their communal spaces, their hangout spaces for their employees, their food and beverage operations, etcetera. So I would say up to this point, we’ve seen no real change that I could pinpoint for you too.
David Greenbaum: I guess, it’s David, I would just add a couple of other comments and that is as Michael mentioned in his script, we are engaged now in some active dialogues with some tenants in renewal discussions. I mean in some of those cases the tenants are thinking about doing some major reworking of their spaces. So Daniel, realistically, it’s way too early to understand exactly how people are going to change their space. Obviously on an immediate basis for the tenants who are in occupancy they are a social distancing, it’s quote every other office, every other workstation, but the long term trends in terms of health and wellness I think it’s something realistically it’s going to evolve and my guess is that we are not going to see a dramatic reversal of densification, but I think what we are going to see is certainly the densification that we’ve seen over this last cycle is going to plateau and maybe even begin to reverse a bit as people focus on their space usage over the next five and 10 years.
Daniel Ismail: Great. And just on the street retail write down the 10-Q sites a 4.5 cap rate in assessing sale value, should we read that as a proxy for your thoughts on market cap rates or is this just an accounting treatments?
Michael Franco: Yes, I think for-- Daniel, this is Michael. I think for premier assets we still think that is the possible. It’s somewhat accounting driven in terms of the methodology, how you get to the impairments, but it’s what the long term view, it’s not, as if you still know how you high spot value today, right. Your liquidating and selling assets today, but on a normalized basis, right, where are those assets going to devalue that. And so that’s obviously higher than was a few years ago, but we still feel appropriate to that.
Daniel Ismail: Great. Thanks a lot.
Cathy Creswell: Thank you.
Operator: There are no further other questions at this time.
Steven Roth: So there are no further questions. So thank you all. We appreciate everybody joining us this morning, please stay safe and healthy. We look forward to seeing you soon. Our third quarter 2020 earnings call will be on Wednesday, November 4th, the day after Election Day, so I guess we’ll have some interesting stuff to talk about. We look forward to your participation. Again, please take good care. Thanks very much.
Operator: And thank you ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may now disconnect.